Operator: Ladies and gentlemen, thank you for standing by, and welcome to the American Electric Power Second Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we’ll conduct a question-and-answer session. Instructions will be given at that time [Operator Instructions]. As a reminder, today’s call is being recorded. And I’ll turn it over to your host, Bette Jo Rozsa. Please go ahead.
Bette Jo Rozsa: Thank you, Sean. Good morning everyone and welcome to the second quarter 2016 earnings call for American Electric Power. We are glad that you are able to join us today. Our earnings release, presentation slides, and related financial information are available on our Web site at aep.com. Today, we will be making forward-looking statements during the call. There are many factors that may cause future results to differ materially from these statements. Please refer to our SEC filings for a discussion of these factors. Joining me this morning for opening remarks are Nick Akins, our Chairman, President and Chief Executive Officer; and Brian Tierney, our Chief Financial Officer. We will take your questions following their remarks. I will now turn the call over to Nick.
Nick Akins: Okay, thanks, Bette Jo. Good morning everyone. Thank you once again for joining AEP’s second quarter 2016 earnings call. AEP had a strong second quarter with GAAP and operating earnings coming in at $1.02 per share and $0.95 per share respectively, bringing the year-to-date earnings to $2.04 per share on a GAAP basis and $1.97 per share on an operating basis. This compares favorably to the second quarter 2015 GAAP and operating earnings of $0.88 per share. The 2016 year-to-date earnings compare unfavorable to 2015 primarily driven by the significant weather and energy market differences experienced in the first quarter of 2015 versus first quarter 2016 as we reported last quarter. These results clearly keep us on pace to meet our operating earnings guidance range of 3.60 to 3.80 per share, which we are reaffirming. We’re also reaffirming our 4% to 6% growth rate, so overall steady as she goes quarter with a discipline and consistency that our investors have come to expect from AEP. Our focus on the utility operations, transmission growth, expansion of our customer sales channels, process optimization and the disciplined deployment of capital and O&M expense continues to drive positive results for our shareholders and customers. While externally it may appear to be a relatively calm quarter, there has been substantial activity internally that further demonstrates and direction of AEP and its strategy to be the next premium regulated utility. We recently established a Chief Customer Officer role assumed by Bruce Evans our former AEP Texas President that provides a focus on improving our customer's experience. This organizational redesign will focus on addressing the evolving nexus that exists between the regulatory framework, emerging technologies that enhance the customer experience and deploying the analytics in technologies of the future to address resource needs and to optimize smart grid applications. As we progress with the substantial build out of transmission and distribution to accommodate large scale optimization and renew of the grid along with the development of additional sales channels that provide growth, we are emerging as an energy company that provides solutions for our customers through both the classical regulated envelop that provides universal access and tailored solutions for customers. AEP's culture is one of openness, collaboration and innovation and I have no doubt that AEP when focus on the investments in the largest transmission system in the U.S. and the energy grid tomorrow will continue to evolve to be the next premium regulate energy company. Also during the second quarter, we continue our strategic review as the comparative generation, keeping in mind we now have two tranches of generation, the first of which we’ve called the non-PPA assets for lack of a better term, which essentially is the natural gas units and the Gavin coal station. The process for this tranche is going according to plan and continues beyond initial bids that were received in the second quarter with final bids due in August. I can say that the response has been robust and we are confident that the process will move toward the conclusion of the strategic review in the coming months. We have also began the planning for the disposition of any cash proceeds to ensure an earnings trajectory that replaces lost earning as quickly as possible. This could include some ramp-up capital spending in transmission and other actions that we’ve done previously and that the cause of immediate recognition of PTC benefits, one business we are currently ramping up is our investment in the long term solar arrangements as well. The second tranche, the previous referred to PPA assets or in the initial phase are preparing assets for process much like the non-PPA assets. This process will occur in parallel with our focused efforts toward restructuring in Ohio. We will be discussing these issues and implications in more detail during the coming months, leading up to November EEI. To follow up on the Ohio restructuring discussion for those of you who don’t know several of our company's sites have showing up in the latest craze of Pokemon Go. One of those sites was our turbine sitting in front of our 1 Riverside Plaza corporate headquarters, the virtual reality of a Pokemon next to our generator turbine in Ohio made me think that, it may be good for a game but if the generator was virtual we might have a real problem on our hands and that is where Ohio is heading if it depends too much on federal markets that do not value the long term base flow generation. I want to look at PJM website, pjm.com to review the generation mix of the peak during the warm days we have been experiencing lately. The vast majority of capacity at the time of the peak is delivered by coal and nuclear resources that are not valued properly in the market construct. Moreover, these markets do not take in account the other issues that are of State concerned such as placing the generation, balance portfolios, jobs, taxes and other state issues. These markets including PJM need to be improved to adjust to these realities. With FERC’s order essentially taking the Ohio PPA proposal approved by the Ohio commission of the table, which I discuss last quarter, AEP is addressing the situation by pursuing restructuring in Ohio. Note this is restructuring, not re-regulation. Our proposal for legislation is now being discussed with various stakeholders and involves the ability or transfer existing generation and invest in new generation such as natural gas and renewables by AEP Ohio. The proposed legislation strikes a balance between our ability to invest and maintain generation in the state and the customers’ ability to choose generation suppliers. This overall process would allow AEP Ohio to move forward with the transition of generation resources in a responsible way that would benefit the State of Ohio and AEP and its customers. The legislation would address any potential FERC jurisdictional matters while allowing the state to take control of its own resources as well as any transition envisioned under initiatives such as the clean power plant. In the absence of restructuring legislation, AEP will continue with its strategic process with the second tranche of generation. We continue to analyze the load situation our service territory shale gas load just tailed off in recent months along the course with mining while industrial load has dropped, commercial and residential load increased, so from quarter-to-quarter the last several years have overall been a mixed bag and hard to read, much like the economy in general. Brian will address the load related issues in more detail in a few minutes. Moving to the equalizer chart on page four that shows our various operating areas, our overall ROE continues to improve as we mentioned last quarter, it's now at 9.8% versus 9.4% that we reported last quarter and still expect as a move toward our forecasted 10.1% overall ROE for 2016. So, all is moving according to plan. So here is the story for each of the regulated business units. For Ohio Power, the ROE for AEP Ohio is at the end of the second quarter it was 13.3%. We expect it to be more favorable than the forecasted 11.9% at the end of the year. The improved ROE forecast is primarily due to AEP Ohio receiving a regulatory order related to the PIR, the phase in recovery writer that allows us to recover accumulated deferred fuel costs with carrying charges as approved by the commission in the ESP 1 case and also 21 million increase in retail margins due to our regulatory reversal and a provision that occurred and then a favorable annual PJM transmission formally rated through us. So AEP Co Ohio Power is doing very well at this point and we continue to expect. AEP Co, the increased ROE is primarily due to a one-time recognition of deferred billing in West Virginia as approved by the public service commission of West Virginia in June of 2016. The 2015 West Virginia base rate case included delayed billing of 25 million of the annual base rate increase for residential customers until July 2016 as these revenues phase in the company’s ROE is expected to trend near the 2016 forecasted ROE. AEP Co does continue to monitor reductions in industrial and residential load, particularly in the cold depressed areas of the state, we’re watching that very closely. Kentucky Power we’re seeing the expected continual improvement at quarter end. The commission authorized a 45 million rate increase effective July 2015 and this rate case will continue to improve the ROE in 2016. And also they are continuing to watch their economy as well. I&M achieved an ROE of 10.1%. I&M continues to benefit from reasonable regulatory frameworks in place for those major capital investment programs that we have in the state generation such as Rockport, the solar projects, nuclear with a loss cycle management and transmission projects as well. So I&M is well positioned for another positive year in 2016. PSO its ROE is generally aligned with expectations, Oklahoma’s economy continues to experience a slow down due in large part to low oil prices and reduced oil and gas activity in the state. In December 2015 the Oklahoma Corporation commission heard the rate case and PSO implemented an interim base rate increase of 75 million subject to refund in January of 2016. So final commission order as expected on that in the fourth quarter. SWEPCO 2016 revenues were challenged by the weakness in oil and natural gas price system, wholesale revenue is rolling off, also wholesale customer's exercise options for sell generation or market participation, but we filed an application in Arkansas that went into effect March 24th, to recover our retrofit investments at Welsh and Flint Creek and then in Texas we filed Transmission & Distribution writers there as well in that state. So we continue to make various filings in those states to improve the ROE. In AEP Texas, the ongoing distribution capital investment, AEP Texas to serve higher levels of electric load and maintain the reliability of the grid had gradually lowered the regulated ROE over time. The ROE should continue to improve however due to the recently approved $56 million DCRF settlement that will going into effect September 1, 2016. And that’s a Distribution Cost Recovery Factor, for those of you who don’t know what DCRF is. AEP Transmission Hold Co, the transmission Hold Co's return of 11.7% is outperforming the 2016 forecast of 10.2%, the increase in ROE is really focused on a true up, an annual true up that occurs in the transmission formula. So we expect that ROE to come down during the year, but still expect it to be around 10.7% by year end. So that’s a known and measurable processes that we’re going through there. So overall, 9.8% continues to track upward and we are pleased with the progress that the operating companies have made. So overall, another great quarter for AEP, this quarter has been a continued approached by AEP to ensure consistency discipline and execution to provide quality shareholder value. It's hard for anyone from outside of AEP to see the company I see from inside with the dedication and innovation of our approximately 18,000 employees. So I’ll just put it this way, I happen to play drums in a band at an event in Cleveland last week where we backed up the Marshal Tucker Band. We played some Bruce Springsteen and it's still on my mind, so I’ll just end up by just saying, Baby we were born to run. Brian?
Brian Tierney: Thank you Boss and good morning everyone. I’ll take you through the second quarter and year-to-date financial results, provide our latest insight on loan and the economy and finish with a review of our balance sheet strength and liquidity position. Turning to Slide 5, operating earnings for the second quarter were $0.95 per share or $466 million, compared to $0.88 per share, $429 million in 2015. Overall the increase in earnings was driven by rate changes including the reversal of our regulatory provision and lower O&M in our regulated utilities, and higher earnings in our AEP transition Hold Co segment. Both of which were partially offset by the expected decline in the generation of marketing segment. Earnings for the Vertically Integrated Utilities segment were $0.42 per share in the second quarter to both 2016 and 2015. Lower O&M due to decreased planned outage expenses and recovery of incremental investment to save our customers were offset by lower margins on retail sales and decreased off-system sales margins due to lower energy prices. The transmission and distribution utility segment earn $0.25 per share for the quarter, up $0.09 from last year. This segment’s major variances included the reversal of the previous regulatory provision in Ohio adding $0.03 per share, and higher margins on retail sales which added $0.02 per share. Other favorable drivers each adding a penny per share where rate changes higher ERCOT transmission revenue and lower O&M expense. Our AEP transmission Hold Co segment continues to grow contributing $0.19 per share or the quarter, an improvement of $0.06. The growth in earnings reflects our return on incremental investment and includes the impact of the annual true up for the formula rate mechanism. Net plant investment less deferred taxes grew by approximately $840 million, an increase of 32% since last June. The generation of marketing segment produced earnings of $0.09 per share down $0.07 from last year. Capacity revenues were lower by $0.07 due to plant retirements and the transition of Ohio to full market pricing. Energy margins were lower by $0.03 per share due to power prices liquidating 18% lower than last year. On the positive side, the commercial organization in our competitive business performed well and wholesale trading and marketing was favorable by a penny this quarter. Corporate and other was down a penny from last year due to higher O&M expense. Let’s turn to Slide 6, and I will briefly highlight our year-to-date results. Operating earnings through June were $1.97 per share or $967 million compared to $2.15 per share or $1.1 billion in 2015. The details are on the slides for those of you who’d like it, but overall the decrease in earnings was driven by the expected decline in earnings in the generation of marketing segment, less favorable weather conditions in the first quarter, depressed power prices and the disposition of our river business last year. These unfavorable drivers were partially offset by rate changes, a change in the effective tax rate, growth in normalized margin and increased earnings in our transmission businesses. Now let’s take a look at Slide 7 to review normalized load performance. For both the quarterly and year-to-date comparisons the message is the same. Our normalized retail sales were down compared to last year because the increase in residential and commercial sales was more than offset by the drop in industrial load. In the lower right chart, our normalized retail sales were down 0.4% for the quarter and 0.3% year-to-date. For both periods, the strong sales performance in our Texas territory is being offset by weakness in the Appalachian and Kentucky regions. This illustrates the benefit of geographic diversity. Normalized residential sales in the upper left rebounded in the second quarter and are now essentially flat compared to last year. Through the first half of 2016 our residential sales, customer accounts and normalized usage were all essentially flat. In the upper right commercial sales grew by 1% for the quarter and are up 0.8% year-to-date. This growth was spread across several of our operating companies, although the strongest growth occurred with the T&B utility segment. This is consistent with some of the economic data I will share with you on the next slide. Finally industrial sales dropped by 4% this quarter and are down 1.6% through June. The sustained drop in energy prices, weak global demand and strong dollar have combined to form a challenging environment for manufacturers. For the quarter industrial sales declined in seven of our top 10 industrial sectors. The two sectors that grew in the second quarter were pipeline transportation and transportation equipment manufacturing. The petroleum and coal product sector was flat for the quarter. I’ll provide additional color on our industrial sales later. Now let’s turn to Slide 8 to look at the most recent economic data for AEP service territory. Starting at the top with GDP, the estimated 1.3% growth for AEP is only 0.3% behind U.S. The upper right chart shows that our Eastern territory is not only growing faster than our Western territory but is now exceeding the U.S. This is not the case for our Western territory where there is greater exposure to lower oil and gas prices. Depressed energy prices have created a noticeable slowing in our western footprint. While the nation benefited from lower fuel prices, AEP's regional economies supporting these shale plays are experiencing an impact of lost jobs. The charts at the bottom show that employment growth for AEP is holding steady of 1.1%, but still lags behind the U.S. by 0.6%. It is not surprising the job growth in AEP's eastern territory exceeds the west given what we just discussed. Earlier in the presentation, I mentioned that our commercial sales were the strongest in our community utility segment that matches the employment data for our service territory as well. Over two thirds of all jobs added in 2016 have been in Ohio and Texas. The sector is showing the strongest job growth for the quarter include construction, leisure and hospitality, and education and health services. These gains were somewhat offset by the decline in natural resources and mining jobs. Today, there are 22,000 fewer employees in that second than last year and approximately 15,000 of those jobs were located in our western footprint. Now let's turn to Slide 9 to review our industrial sales trends by region. Over the last several years our industrial sales growth has largely been tied to oil and gas activity around the major share plays. Up and to this quarter, sales to the oil and gas sectors have been fairly resilient despite low energy prices. The chart in the upper left shows that the tide has started to turn. AEP's industrial sales in shale counties this quarter actually decline by 0.3%. Specifically the decline is largely coming from our upstream oil and gas extraction sector which experience to 6% decline for the quarter. The map on the right identifies our coal counties shown in blue. I want to highlight these counties since we continue to see significant erosion in our industrial sales as well as customer accounts in this area. In the upper left chart, our industrial sales in the coal counties were down 14% for this quarter, while sales to the mining sector alone were down nearly 18%. Low natural gas prices, environmental regulations, lowered demand from the utility sector and less demand globally from metallurgical coal have created a bad situation for Appalachian coal producers. Outside of our shale and coal counties, the rest of AEP's industrials were down 3.3% for the quarter. Now let's turn to Slide 10 to review the company's capitalization and liquidity. Our total debt to capital ratio crept up by 0.3% during the quarter and remains healthy at 54%. Our credit metrics, FFO interest coverage and FFO-to-debt are solidly in the BBB and BAA1 range at 5.6 times and 20.2% respectively. Our qualified pension funding remained unchanged for the quarter at 97%, although plant assets increased during the quarter, so did plant liabilities due to discount rate coming in lower than assumed. During the month of June we funded about $86 million to plant assets and amount equal to the estimate of service cost for the year. Our OPEB funding now stands at 101%. Plant assets increased by 0.2% but plant liabilities increased 3.1% due to drop in discount rate. The overall impact dropped our OPEB funding ratio by 2.9%. The estimated after tax O&M expense for both plans this year is expected to be about $13 million. Finally, our net liquidity stands at about $2.3 billion and is supported by our two revolving credit facilities. During the second quarter, our treasury team worked with our banking partners to amend and extend our key credit facilities. We now have a $3 million facility that extends into June of 2021 and the second $500 million facility that expires in June of 2018. This tiered structure allows for maximum flexibility as we continue our strategic review of our competitive generation assets. Altogether, AEP’s balance sheet, liquidity and credit metrics are strong and will allow us to fund our utility operations, growth and dividends under all reasonably foreseeable conditions. Now let's turn to slide 11 and wrap this up, so we can get to your questions. We are pleased with our earnings results for the second quarter of this year. Gains in our wires businesses more than offset expected decreases in our competitive businesses due to lower energy prices and deregulation in Ohio. As we look towards the second half of 2016, we believe that our regulated businesses will more than offset any challenges presented by our generation and marketing segment, giving us the confidence to reaffirm our operating earnings guidance range of $3.60 to $3.80 per share. Finally, as Nick mentioned earlier, the strategic review of our competitive generation remains on track and we hope to have news for you in that regard either later this quarter or early next quarter. With that, I will turn the call over to the operator for your questions.
Operator: Thank you [Operator Instructions]. Our first question is going to come from the line of Greg Gordon from Evercore Finance. Please go ahead.
Greg Gordon: Looking at the numbers, the quarter was obviously great, but the sales trends in industrial are a bit concerning especially if you just extrapolate them out, on a compounding basis. I’ve heard some concern from investors just around the ability to meet the 4% to 6% earnings growth aspiration if in fact the sales growth targets that you laid out when you laid that target out a year or so ago failed to materialize. Sort of you aspired to a premium utility, the premium utilities don’t blame changes in the outlook for not meeting their growth rates. So, how do you aspire to a nice plan to time if industrial sales continue to be a drag on the plant?
Nick Akins: I think the last four years have shown a couple of things, one is the inconsistency of load from quarter-to-quarter and obviously we’ve had to work through that. I think the other thing in the last four years has shown us we have to adjust to it. And when you think about the levers that we have around O&M, but also have emerging revenue sides as well. I mean the transmission continues to pick up, there is no question. We’ll have to continue to invest in the grid, in particular transmission as well. And then we also have other investments like solar and those kinds of relationships with customers that are improving earnings as well. So I think when you look at the 4% to 6% we’re still confident in the 4% to 6%. And as we go through the year we’ll certainly be able to fine tune that in more detail, but I guess the overall message is we feel like we have the ability as we’ve done in the last four years to be able to compensate for any of these issues that occur. And there is no question, I mean, any business has to adjust based upon what the sales forecast looks like, but also they got to look at the revenue side as well and ensure that we’re doing everything we can do there to do its work as well. So Greg I know there is a lot of concern out there about load forecast going forward, if we trend it out. And of course what we do to irregular generation, but at the end of the day we are going to adjust to it And I think we take very seriously the consistency that we’ve build and maintained over the last four years and we don’t interim on giving that up.
Greg Gordon: All right, that’s great. Also when I look at the balance sheet, you guys have sort of ascended to a position of having one of the strongest parent balance sheet amongst what I consider your utility holding company peers, if you look at the FFO-to-debt metrics, to debt EBITDA and that. You’ve got a lot of balance sheet capacity. How do you think about that store value and how you might use it going forward?
Nick Akins: Yes, we look at stored value, it's gives us a lot of opportunity, but we have the ability to invest indigenously within our own footprint and we also from a transmission standpoint and other revenue producers that we’re working on to really define that, whether it's an energy company of the future or whatever you want to call it. But there is no doubt that we have built up a strong balance sheet with great credit metrics. And obviously we intend on maintaining that but at the same time there is the ability for us to look at various options for the use of that debt. And it's actually a good place to be in, but also in this day and age and how the economy of doing and what's going on there it's a good place to be.
Brian Tierney: Gregg, you know this management and you know how we use that balance sheet capacity in the past. It's been on prudent regulator type utility investments and I think you’d expect us to spend any of our balance sheet capacity on a similar way going forward.
Greg Gordon: Great thanks guys.
Operator: Thank you. Our next question comes from line of Anthony Crowdell from Jefferies. Please go ahead.
Anthony Crowdell: Just two questions, first question I guess on Ohio, you’ve had another utility in your state apply for regulated plan. Looks like it’s going to be a wires charge to grow got to make a more of a robust grade. Does AEP make a similar filing giving that staff has recommended that?
Nick Akins: Yes, ultimately we can also do that, I think that’s an option for us to do. But AEP is sort in a different place. We have some outstanding issues, that we’re working through with the commission, the perk [ph] that we just got was one of those. But we also have the Supreme Court cases on capacity, they will come back, and on the RSR. So we are working through a rest of outstanding issues and each one of those is generally positive for AEP. So we want to work through those and get them resolve, and I think it's a great opportunity for us to do that. And at the end of the day, if that other companies are successful then obviously we will take a hard look at that. But we want to make sure that we are investing in this state and those areas that make sense and we are doing it well from a transmission and distribution perspective. We’ve got to get this generation things settled once in for all.
Anthony Crowdell: And then following up on Gregg's question, you mentioned you guys have a strong balance sheet, highlighted all of that capacity have, you’re going through the changes of the generation and marketing segment right now. Southern’s call yesterday highlight the success at Southern Power, refining all these renewable projects. Do we see the generation marketing business for AEP in the year or two looking more like a southern power with a lot more renewables, is that going to be the focus as we go forward? Or is it just really managing the fleet or just winding it down and adjusting the wires company or regulated company?
Nick Akins: No, I think clearly and we’re probably little more quiet about it because the major part of our business is around infrastructure, infrastructure development on the transmission side. We have a huge transmission system, so we have a lot of ability to invest. But you’re always looking for sources of new revenue and we see it as another tool in the tool box to be able to focus on enhancements of earnings because obviously there is near term benefits of a protection tax credits, and we’re after doing that. We just did a universal scale or utility scale project in Utah that hasn’t been announced yet. We can’t say who but it's a 20 megawatt project. And then we also have several other small projects with municipalities and so forth in New York and other locations around the country. And we’ve been doing that and we know how to do that. What we really are focused on though is ensuring that we do have a place to deploy our capital in the wisest fashion and that can certainly augment our business, but our main focus is the focus on the infrastructure and what it means. And it goes beyond solar. It goes to relationships with customers and I sort of alluded that in my opening discussion, we have a much broader relationship with some of these customers that goes beyond solar, it goes to obviously renewables with storage. We’re very focused on storage aspect. Our investor in Greensmith for example, integration of solar and wind, but also in energy storage. And you see those applications coming together from a distribution standpoint and that’s going to be a huge benefit to us. So, obviously we want to be in the solar business, but we also going to be in the wind power business, it's really addressing tailored needs of customers focused around that customer experience. And so in an ancillary fashion it's coming to pass, but we’ll probably be getting larger at it, but we’ll good at it and we’ll be focused on ultimately those customer experience side of things.
Anthony Crowdell: My last thing is, just to make sure I understand this correctly, it looks like you’ll look at multiple opportunities, maybe to bridge the gap on GenCore [ph] marketing and one of those maybe like a solar ITC bridge there. Is that correct, or that’s not what you said?
Nick Akins: Yes, essentially that’s right. But at the same time we want the earnings driven by the utility business to drive that consistency. Well, if you’re able to augment with long-term purchase power arrangements, whether it's solar or whether it's anything else then it's qasai regulated that we can show consistency and that’s what we -- that’s the first thing we measured on. So we’re not out there doing solar just for solar sake or solar with counterparties that we’re not sure that they’re going to be there or not. We’re being very selective about what solar projects and what counterparties we become involved with and I think and certainly Chuck Zebula who is running that business, I think probably all know him, he is very structured in the way he addresses these things just like he did with even a lot of this un-regulated generation. We performed extremely well in doing that business regardless of whether we should be in it or not, that’s another question. But when we do it, it's very disciplined, it's very structured and it's very focused on what we are trying to achieve. So you’re exactly right. For us -- I mean if you look at the use of proceeds, if we have catch proceeds coming in from a transaction, then obviously one of the issues that we talked about earlier was repurchase of stock. But obviously if you can invest in a long term solar project and take the PTCs upfront, that’s also a great measure for investment as oppose to buying back stock. So there is a lot of thing that are on the table that we’re preparing as we work through the process of that disposition of cash for example. So I think to be the energy company of the future, you’ve got to be involved with all these facets of the business and understand that facet of the business, but you got to be very disciplined in your approach. And we just have a -- I wouldn’t say a different view in terms of whether all of these resources, there should be a balance at our resources, we agree on that. I think the issue is we are very focused on the wires piece of it and how it interacts with the customer and in the future you are going to see a lot of these distributed solutions that are driven by the customer interaction at the distribution level and we are going to be there to do it.
Anthony Crowdell: Great thanks for taking my questions.
Operator: Thank you. Our next question is coming from line of Julien Dumoulin Smith from UBS. Please go ahead.
Julien Dumoulin Smith: So quick follow up if you will on the just process here, when you thinking about the legislative effort whether restructuring or what have you, when do you make a final call here? You kind of talked about it in this quarter, early next kind of making a vision on the sale. Is this the potential for you to stretch in next year to try to get it done given kind of the limited window on legislation this year?
Nick Akins: Yes, let me give you an idea of this my perception of the timing. We have the framework of legislature that we’re addressing with stakeholders now and that’s -- whether it's legislature, whether it's other that are important to in discussion process, other participants in the market, those kinds of things. We are going to focus on that between now and November. And then November is when the Ohio legislature comes back into place. And keep in mind, I am talking about the first tranche of assets, this is really regarding the second tranche which is, what formally was the PPA assets. So the first tranche, that’s moving along, it's already -- the train’s left the station and it’s moving forward. The second tranche, I am saying from the restructuring standpoint, we’re going to go through and have the legislature and have discussions with stakeholders to get that process in place in November when Ohio, the legislature comes back into session. It will be a lame-duck session. So we will have to make sure that we focused on those legislatures that will still be around and the future leaders of that organization. And then that way we can hit the ground running with legislature that’s already been by and large embedded and discussed in the first quarter by the first of the year. So in the first quarter you’re starting with the new legislature, I think we going to know pretty quickly whether people are open to the possibility of this kind of thing happening or not. And at that point in time, we have already started our secondary process as I talked about around the PPA assets, getting the data room ready, all that kind of stuff. And we’ll make a determination of where we think Ohio is going to go. Ohio many people didn’t think the PPA would happen in Ohio and it did happened. And I still think there is going to be some form of restructuring in Ohio because there has to be. But the question becomes; number one, are people receptive to it; number two, is the time frame appropriate for what we’re trying to achieve. The driver here will be that secondary process and we’ll have to get some determination as to whether the openness and the collaboration in the State of Ohio would work to get something done during the pendency of all that. So that’s where we’re at. And so when we think about that you’re probably taking the decisional process in the first quarter of next year that we’ll know whether Ohio if there is a chance of moving forward with that thing or not. And so that will tell us what we need to know.
Julien Dumoulin Smith: And then just to keep going with that continue, you kind of alluded to new investment as well. And I am just curious, even if you pursue the sales do you pursue legislation next year to open that door as well? And to that end what kind of generation and how do you envision that today?
Nick Akins: I’ve made it very clear in the state that we’re not going to investment in the generation in this state, period. Until something is resolved from restructuring standpoint that enables us to invest and do it in a wise fashion. And the legislation includes the ability for AEP Ohio to not only transfer those assets that were under the PPA to AEP Ohio, but also to be able to have a mechanism for investment in future generation. And obviously the State of Ohio is very interested in getting natural gas going. There is a lot of discussion about -- there is three or four natural gas units getting built, but that’s locally inadequate of what the Ohio load actually is. And so there is a capacity deficiency in Ohio and if Ohio wants to take advantage of additional natural gas build out, the additional structural addition such as pipeline infrastructure, electric transmission infrastructure, the economic development follow-on to all of that, there is no reason for Ohio to give that up and so there has to be a mechanism to do that and that’s what we’re after.
Julien Dumoulin Smith: And just to clarify, is renewables as well in the legislation, and obviously kind of a hot issue this year?
Nick Akins: Yes renewables as well and we’ve had discussions, some -- there is different opinion on when, there is different opinions on solar, most are for solar, some are against wind. But I think there is dialogs to where we can probably reach some happy medium.
Operator: Our next question will come from the line of Michael Weinstein from Credit Suisse. Please go ahead.
Michael Weinstein: Just a follow up to Julien’s question, you had mentioned that this is not reregulation restructuring and I am just curious about what the -- why the de-emphasis on reregulation and what pushed back do to you see if that term was used or proposed?
Nick Akins: I think reregulation has the kind connotation that everything is going to be slammed back into the wires company and there won’t be any ability to shop and other participants can’t participate in a market. So we are focused on reaching that balance of the ability for the utility to invest, but also others to invest as well, and customers to be able to. So that’s really the distinction. Re-regulation just as a large to the connotation to it and it actually is a much heavier lift to put entire Genie back in the bottle.
Michael Weinstein: Right, so I guess it's a spectrum of possible options, one where you can have everything put in, one where we you have only certain assets like the PPA assets and then perhaps maybe on the other hand of the spectrum might be only -- to allow the utilities only to invest in new asset. I know that’s something and might happen?
Nick Akins: Well, that’s not our preference obviously. And that’s going to be determined on the second tranche of generation for sure. Our intension is to make sure that we can transfer these assets back into the large company, and enable the ability for to continue to invest in new generation in a creatable fashion. And it will take a legislative mechanism to do that and we also obviously want to make sure that we accommodate other participants in the market in some fashion and that’s part of dialogue. But those two things are what we’re after.
Michael Weinstein: Okay, as a reinvestment possibility of the solar investments that you were talking about. How big do you see that getting in terms of contributing to the 4% to 6% growth rate and versus let's say the transmission Hold Co growth that you are forecasting for that segment?
Nick Akins: Yes, so we plan on updating that at EEI in November, particularly as it relates to ’17 and beyond. We know where it is for this year and it's been pretty good. It's a -- 15 million to 20 million has been added for this year, so those projects is a the huge pipeline of projects and I think you’ve probably heard others talk about, there is a lot of solar projects out there but we are going to pick and choose the ones that match up to what our degree of risk is, and we want to make sure that that business continues to grow, but we are going to be very disciplined in order to approach. So we will have more on that at EEI in November.
Michael Weinstein: Great, look forward to see. Thank you.
Nick Akins: And it's not that -- it's what we’re doing with wind power and with energy storage as well. And it could be even more defined energy service relationships as well.
Michael Weinstein: Right.
Operator: Thank you. Our next question comes from line of Paul Patterson from Glenrock Associates. Please go ahead.
Paul Patterson: Just in terms of tax audit, could you elaborate a little more what happened there, and if it's going to maybe impact tax rate going forward?
Brian Tierney: Yes, so it's should not impact tax rates going forward at all. So it was a favorable federal tax adjustment related to a settlement of a federal tax audit issue, where we had a tax valuation allowance recorded in 2011. And talk about how is legacy an issue, this is -- that was related to litigation that stemmed out of the Enron bankruptcy. So we are going back pretty far in history, these things take a long time to work their way through the IRS and ultimately a congressional committee and that’s what happen on this, so it's great to get that resolved and behind us, but don’t expect anything like that to be a recurring item.
Paul Patterson: And then on the reregulation or restructuring. Just to make sure I understand, it sounds like you’ll be in a -- I wasn’t clear as to whether or not November, the Lame-duck session was when things might be clear to you? Or what that meant in terms of whether something actually might happen then, or whether you’re really looking at the first quarter of 2017?
Nick Akins: So I am thinking -- okay. So it really is more of a soaking period because what we want to do is in November we’re talking to the other stakeholders and come to the legislature with what we believe is a balanced package that other participants in the market can latch onto as well. If we do that then the discussion we’ve already had with legislators, we’re trying to get to every legislator we can, that we know is going to still be around and then that would be -- November we’ll get an early indication of where things are going. But really nothing -- I am not expecting anything can happen until the first of the year when the new legislature comes in. But obviously we’ll know who is coming in, so we can have that soaking period from November to December and then in earnest move that legislation forward. I know that’s aggressive but what we’ll be looking for is really the feedback that we get in terms of not only whether it can get done or not but in terms of timing, it will be an important consideration for us. So, I don’t see legislation actually getting done until first quarter or second quarter of next year. But if we know it's coming and we know what’s entailed in it, then we can plan for it.
Paul Patterson: And then when you mentioned stakeholders, are we talking about other merchant generators and the reason for the question is that, as you know it seems that unless their generation is included or what have you, that there is this sort of -- we emit [ph] sort of take no prisoners like no, no, no, no, no, on anything like restructuring or what have you because of the fear that they might not be as competitive if you follow me? Is your participation something critical here, or how should we think about the stakeholder [indiscernible] you mentioned?
Nick Akins: I certainly think that they are part of the equation and certainly we want to be able to accommodate as much as we can, the investments that have been made in the stake of some of these independent power producers. And keep in mind I mean they can still have PPAs because they’re not affiliated, so there are opportunities for them to actually confirm earnings in the period where obviously being an independent power producer is not a good time to be in that business right now. So, I am not going to go into who we’ve been having discussions with or anything like that, but I would have to say that they are an important part of the puzzle here.
Operator: Thank you. And our next question is coming from the line of Paul Ridzon from KeyBanc. Please go ahead.
Paul Ridzon: Can you just once again review the priorities for the proceeds from the non-PPA assets?
Nick Akins: The proceeds for the non-PPA assets -- so that process will go forward and the priority will be, we will look at as much ramping up as we can do relative to transmission investment and another types of investments to fill -- to make sure that the earnings come in as quickly as possible. Obviously solar could be a piece of that as well. And we are obviously looking at other measures that we can do to invest more quickly to address the level of cash that’s coming in. So we will obviously fill in more of the detail of that in November as well.
Brian Tierney: Paul, we would like to be able to come out and have an Analyst Day when we do have something to announce on that strategic review that’s underway and we would have a discussion of that that time.
Paul Ridzon: Thank you and you indicated that the process is proceeding fairly -- I think you characterized its going well. Can we use kind of duke Ohio assets on dollar-per-kilowatt basis, is that kind of -- is that a reasonable proxy?
Nick Akins: Paul, I don’t want to tell which ones -- which assets to use, I think with your knowledge of the industry you could probably come up with something that would be reasonable for what those would be, other have, somewhat missed it terribly. But I think the smarter people like you in the industry can figure it out pretty readily.
Brian Tierney: I think, as I mentioned early we have a robust set of bidders, so I hate to give a mini guidance at this point.
Paul Ridzon: Understood. And that’s 5,000 megawatts from non-PPA?
Brian Tierney: Yes.
Paul Ridzon: Thank you very much.
Operator: Thank you. Our next question comes from line of Steve Fleishman from Wolfe research. Please go ahead.
Steve Fleishman: Just clarity on timing of the non-PPA outcome?
Nick Akins: So from a non-PPA piece, as we get final bids in August, it will probably take -- it could be third quarter early fourth quarter to have a completed deal that we would announce at that point in time. And then the process would occur relative to closing and that could fall into 2017, but obviously the deal will done and we’ll get to closing. So in likely it will take -- once the deal is done, it's could take around six months, maybe nine months to actually close.
Steve Fleishman: Okay. And then also just you mentioned kind of some of weakness in your coal country subsidiary facilities, and are you planning to get rereleased in those areas or given that they’re depressed, like is there other ways that you might be able to find solution there? [Multiple speakers] doesn’t seem like the politicians want to find a way to invest in new things in these areas? So I am just curious how you’re thinking about that.
Nick Akins: Paul there are couple of things going out -- I am sorry Steve, in Kentucky in particularly we just had some rate relief and we are looking at when it makes sense for us to go back. But in Kentucky in particular to governor’s office is looking at ways to trying track a new businesses and retain the businesses in those areas that are negatively impacted by what’s happening with coal and we from an economic development perspective are certainly working with the governor and the state legislators to try and see we can be a productive part of that.
Nick Akins: And Steve keep in mind too we’ve converted some of the coal to natural gas as well. So the big Sandy side is converted to natural gas, Clint Rivers is converted to natural gas. Those are operational now and you’ll probably see more natural gas build out, but also on the renewable side you will continue to see expansion from that perspective. And as Brian mentioned we’re actually have been working, our economic development people have been working with the states to present these sites as brownfield sites for manufacturing and industrial. So we’re working to try to reinforce those service territories as much as we possibly can.
Steve Fleishman: Thanks.
Nick Akins: I’d say though that there is a -- I mean a lot of damage that’s been done to coal country, there is no question about it. And whoever gets elected in this process really needs to focus one way or another on reinforcing a hugely depressed area. And each one of them has their own way. I mean Hillary Clinton wants just do several billion, focused on rehabilitating from a jobs perspective and that kind of thing. That seems like a longer term issue. And of course Donald Trump is on the other side saying he’s putting the miners back to work and I don’t know exactly how that works. But either way I think both of them, they really ought to be focused on reinvigorating that part of the country, since it's been so devastated by what’s happened recently.
Bette Jo Rozsa: Operator, we have time for one more call. One more question.
Operator: Thank you. Our next question then will come from the line of Ali Agha from SunTrust. Please go ahead.
Ali Agha: Just to bring closure to the overall merger portfolio the exit here. So if I am hearing you right, the non-PPA assets announced late Q3, early Q4 takes six to nine months to close from there. The PPA assets, will you have something to announce in Q1 or are you going to follow the legislative process and maybe that spins over into Q2, not wide clear on when the final closure happens on that portfolio?
Nick Akins: I think you read that right. We’re going to have to gauge the receptivity from the legislature that comes into play at that point in time and we’ll have a lot of groundwork already done. So we’ll have a good feeling I think about first quarter or where this is going to go. Now, if it -- and keep in mind that second tranche is continuing in parallel. So, we’re not slowing down on that. What we’re saying is we’re going to gauge that first quarter and you may get an announcement from us that if we’re not sensing that it's going in the right direction in Ohio then we’ll say we’ve got the second tranches, it’s moving along and we’ll give an update to that. If we see that legislation can get done then there will be an expectation to get that legislation done as quickly as possible, but we’ll have to continue, we’re in the tranches until we know for sure that legislation is going to happen. So, I would say you’re going to hear something from us first quarter, perhaps the beginning of second quarter, but I believe in first quarter you will hear from us, some very significant policy around that.
Ali Agha: Okay. And then second, given on a low trends have played out through the first half, are you still sticking to the plus 0.9% target for the year, or should be adjusting that?
Brian Tierney: As we do an update, being half through the year and looking at where we have been year-to-date. We anticipate being closer to flat by yearend versus 2015.
Ali Agha: Okay. And last question, when we look at the transmission growth profile you have led for us the Trans Co business for 2019, that’s going well above 4% to 6%, it's becoming a bigger piece of your overall earnings as well. So when you look at this company beyond the mergers, so just on a regulated basis, and if your PNB et cetera grows pretty much in line with everybody and the transmission grows the way it is, might we be looking at an overall portfolio that has a growth rate north of 4% to 6% just looking at those kind of numbers?
Nick Akins: So we are going to provide a more fulsome update on longer term growth rate when we will get together after the announcement of the conclusion of the strategic review of the asset. We would like to have an Analyst Day when we go into all that, sort of reset growth rate if it's time to that and take a look at use of proceeds if that’s what we’re facing at that time and give you more fulsome view hopefully later this -- in the autumn this year.
Nick Akins: So without answering, which we’ll answer obviously later in the year as Brian said. We have really, we’ve really brought up the kind of company this is going to be in the future and that will be one driven by transmission, distribution, focus on wares and the convolution of resources and energy services associated with that. So it's going to be a very, very good company going forward from a consistency basis, but also from an investment standpoint and what we’re are investing in. I think it will position us very well for the next 100 years.
Ali Agha: Right. The regular business should pretty much be growing with your rate base investment, is that fair?
Nick Akins: That’s fair.
Ali Agha: Okay, thank you.
Bette Jo Rozsa: And thank you everyone for joining us on today's call. As always the IR team will be available to answer any additional question you may have. Sean, would you please give the replay information?
Operator: Yes, thank you. Ladies and gentlemen, this conference will be available for replay after 11:15 today through August 5th at midnight. You many access AT&T Teleconference Replay System at any time by dialing 1800-475-6701 and entering the access code of 397614. International participants please dial 320-365-3844. Those numbers again are, 1800-475-6701 and 320-365-3844 with an access code of 397614. That does conclude your conference for today. Thank you for your participation and for using the AT&T Executive Teleconference Service. You may now disconnect.